Operator: Welcome to the TE Connectivity Fourth Quarter and Final-Year Results Conference Call. All participants are in a listen-only mode. Later, we will conduct a question-and-answer session, which at that time, I'll give instructions. I would now like to turn the conference over to your host, Sujal Shah, Vice President of Investor Relations. Please go ahead.
Sujal Shah - TE Connectivity Ltd.: Good morning and thank you for joining our conference call to discuss TE Connectivity's fourth quarter and full-year 2018 results. With me today are Chief Executive Officer, Terrence Curtin; and Chief Financial Officer, Heath Mitts. During this call, we'll be providing certain forward-looking information, and we ask you to review the forward-looking cautionary statements included in today's press release. In addition, we will use certain non-GAAP measures in our discussion this morning and we ask you to review the sections of our press release and the accompanying slide presentation that address the use of these items. The press release and related tables, along with the slide presentation, can be found on the Investor Relations portion of our website at te.com. Please keep in mind that we announced the sale of our SubCom business last quarter and expect the transaction to close by the end of this quarter. With the sale, SubCom is reflected as discontinued operations and is not included in our results or guidance. Also, prior periods have been recast to reflect SubCom's discontinued operations treatment. In our fiscal 2018, SubCom generated approximately $700 million in sales, with a minimal contribution to adjusted EPS. Note that, all prepared remarks on today's call will reflect TE continuing operations unless otherwise noted. We've included slide 15 in our earnings presentation, which shows recast financial information for continuing operations. Finally, due to the increasing number of participants on the Q&A portion of today's call, we're asking everyone to limit themselves to one question to make sure we can give everyone an opportunity to ask questions during the allotted time. We're willing to take follow-up questions, but ask that you re-join the queue if you have a second question. And let me turn the call over to Terrence, for opening comments.
Terrence R. Curtin - TE Connectivity Ltd.: Thank you, Sujal, and thank you, everyone, for joining us today and I'll cover our 2018 results as well as our outlook for 2019. As we're going to be going through both our fourth quarter 2018 as well as the full-year 2018 and the guide, I'd like to start with framing the key messages for today's call by referencing our long-term business model. To remind you, back at our Investor Day earlier this fiscal year we conveyed a long-term business model of 4% to 6% annual organic growth where we would deliver 30 to 80 basis points of margin expansion and double-digit earnings per share growth, which we expect to deliver over a full market cycle. As Heath and I recap 2018, you're going to see strong results that are well ahead of this business model on all fronts, on the sales front, margin front, earnings per share growth, as well as capital generation and deployment. When we talk about 2019, and over the past three months, we have seen changes in the macro environment and our guidance for 2019 does reflect slower growth in certain end markets that we'll highlight during this call. While this may cause 2019 to be slightly below our target business model, I want to make sure you know we remain committed and are going to accelerate the leverage we talked to you about that are under our control to ensure we accrue financial performance as we move through 2019. So let me look back now at 2018 a little bit before I get into the slides, and I'm very proud of our results. I think the results show the power of our strategy, as well as the execution of our teams. Some of the things I want to highlight before we jump into slide 3 is some of the significant progress we feel we've made this past year in creating long-term value for our owners. First off, as Sujal highlighted, we announced the sale of our SubCom business, which improves our portfolio by lowering our volatility, enhancing our long-term growth and margin profile and positioning TE for stronger returns on future investments. Also, during 2018, the revenue growth result which was 15% overall and 9% on an organic basis – and 9% organically is a $1 billion of organic revenue growth, I think demonstrates the performance that's significantly ahead of growth in the markets we serve. We ended this year expecting 4% organic growth and our strong outperformance this past year once again reinforces the secular content trends that drive our results and business model. We saw this illustrate among many of our markets including auto, commercial transportation, sensors, factory automation as well as appliances. On the earnings front first; adjusted operating margins expanded a 100 basis point with increases in each of our three segments and the expansion being driven primarily by our Industrial and Communications segments, which we talked to you about, as key drivers for margin expansion over many years now and we saw the results here in 2018. On an earnings per share, we grew 26%, which represents strong performance versus our industrial technology peers. And lastly, about our business model, it is the cash generation that I know we all like and we generated $1.4 billion of free cash flow this past year and expanded return on invested capital by over 150 basis points, which reflect both our disciplined and balanced capital strategy. So I do have confidence that our portfolio is well positioned to continue to generate growth ahead in the end markets we serve as we go forward. So, let's get into the slides and we're going to start with slide 3 and I'm going to jump back over and just talk about the fourth quarter. And as we talk about the fourth quarter, as Sujal said, in continuing operations, which excludes SubCom, we delivered another quarter of above-market performance with growth in all businesses. Sales were slightly ahead of our expectations at $3.5 billion and this represented 9% reported growth and 8% organic growth year-over-year. In Transportation, we grew 8% organically, well above our markets with growth in each of the segments' three businesses. Industrial Solutions grew 6% organically with growth across all businesses and our Communications segment grew 12% organically, with strong growth in both data and devices and appliances. Orders were up 4% organically with growth in each segment, but we did see our orders decline sequentially by 8% and this reflects both return to more typical seasonality for our business, as well as a slower market environment in certain markets. In the fourth quarter, we delivered 17% adjusted operating margins, expanding 110 basis points year-over-year with margin expansion across all segments. Adjusted earnings per share was $1.35, which was above our guidance and grew 19% versus the prior-year, driven entirely by operational performance. In fact, currency exchange and tax rates were actually a headwind to our results in the quarter. Free cash flow was very strong at $670 million and we returned over $500 million to our shareholders through both dividends and share repurchases. So if you could please turn to slide 4, let me jump back to the full year for 2018 and then also talk about our guidance for 2019. For the full-year 2018, our sales were $14 billion, up 15% on a reported basis and 9% organically. Transportation grew 11% organically with 8% organic growth in auto versus the global auto production growth at less than 1%, and this demonstrates our performance versus the market due to content growth trends, as well our strong global position. Industrial Solutions grew 6% organically with growth across all businesses and benefit from content growth, and our Communications segment grew 11% organically with double-digit growth in both appliances and our data devices units. For the full-year, our adjusted operating margins were up 100 basis points to 17.7%, but I do want to note that we exited the year at a 17% margin run rate, which represents a level of profitability that reflects a moderating macro environment. We delivered adjusted earnings per share of $5.61, which was up 26% over the prior year. As we look forward, we are providing fiscal 2019 guidance for continuing operations for sales of $14.1 billion and adjusted earnings per share of $5.70 at the midpoint. This guidance represents 1% reported growth and 3% organic revenue growth and low-single digit EPS expansion. Our guidance reflects moderating order trends I'll discuss on the next slide, but we do expect growth in each of our segments and performance above our markets driven by content growth. The one big item is, while we have 3% organic growth and that would equate to about $500 million of organic revenue. As we've been highlighting, currency exchange effects are changing from being a tailwind last year to being a material headwind in 2019. And we expect currency exchange effects to negatively impact our revenue by $400 million. Adjusted earnings per share includes a $0.30 combined headwind from currency effects as well as the higher tax rate that Heath will talk about. Without these headwinds, our EPS guidance would represent high single-digit growth were it not for these. While we can't influence the market environment, we are going to execute on leverage we can control to accelerate cost reduction plans in the first half and expand margins and EPS in the second half. So let's turn to slide 5 and let me get into the order trends that I've mentioned and where we see the markets and we'll get into it both overall and by segment. So on slide 5, as we discussed with you throughout 2018, we did have some markets that were running well ahead of trend line. These include commercial transportation, factory automation and appliances. As we expected, we saw growth rates moderate from the first half to the second half of this year and expect these markets to continue to normalize in 2019. We did see global auto production fall to less than 1% in 2018 with 2% production declines in the fourth quarter. This is different than what we talked about 90 days ago. Right now, we expect full-year auto production to be flat in 2019 with first-half production declining 2% year-over-year before improving in the second half. And offsetting some of this weakness, we continue to see good momentum in our aerospace and defense, medical, and data and device end markets. If you look at orders on the slide, we saw 4% year-over-year growth on an organic basis. This was driven by growth in North America and Europe of 12% and 3% respectively. And this was partially offset by weakness in Asia, which declined by 2%. The slower growth rates we're seeing is reflected in the sequential decline that you see on the page in orders from quarter three to quarter four of 8%. We have been running a book-to-bill ratio above 1 for quite some time and this quarter's book-to-bill of 0.99 reflects the slowing of the certain markets that I just mentioned earlier, and a return to more normal seasonal patterns for our business. And just to remind you, since we haven't experienced these normal season patterns in a while, we typically see mid-single digit revenue declines sequentially from quarter four to quarter one, followed by sequential growth in quarter two, and additional growth in the second half and that's in line with how we're guiding. Looking at orders by segment, Transportation organic orders were up 4% with growth in automotive and in sensors. And Industrial orders grew 3% organically year-over-year with growth driven by aerospace, defense and marine, as well as medical applications. In Communications, we saw year-over-year organic order growth of 4% that was driven by the data and devices unit, partially offset by declines in appliances, and our guidance for revenue growth reflects trends we're seeing. So let me get into our results by segment and if you could please turn to slide 6, we'll start with Transportation. Transportation sales grew 8% organically year-over-year with strong growth in each of our three businesses. Our auto sales were up 6% organically in an auto production environment that declined 2% in the quarter, again reinforcing our ability to outperform the end market due to secular content growth trends. When we look at the quarter, we had solid growth in the Americas and China, while Europe was flat as customers were impacted by the WLTP implementation. In commercial transportation, we continue to outperform the market with organic revenue growth of 15% year-over-year and double-digit growth across all regions and submarkets. But we have seen those orders reduce off of where we just had the revenue. Our sensors business grew very nicely 10% year-over-year with growth across auto, commercial transportation as well as industrial applications. In the auto sensor space, we generated over $800 million of new design wins in 2018. And this brings our total design win value to over $2 billion since the beginning of 2016 across a broad spectrum of auto sensor technologies as well as applications. For the segment, adjusted operating margins expanded 40 basis points year-over-year to 18.1%. As we've indicated, we have increased investment to support strong pipeline of new design wins, including those in the electric vehicle and autonomous driving applications. At the same time, we have seen production slow in both China and Europe, causing a near-term correction in supply-chain that has impacted margins for our business. We will balance near-term margin performance with long-term growth opportunities and are committed to getting margins back to our target level of around 20% in the second half of 2019. So if we can move to Industrial Solutions. Please turn to slide 7 in the deck. The segment sales grew 6% organically year-over-year to $1.1 billion, with contribution from all businesses. In industrial equipment, organic growth was 4%, led by strength in medical applications and a slower growth factory automation environment. Our AD&M business delivered 9% organic growth with growth across all businesses and particular strength in com air. And our energy business grew 8% on an organic basis with growth in all regions. When we look at the industrial space, we are continuing to see sustained momentum across a broad set of end markets. On the margin side in the segment, adjusted operating margins expanded a very strong 160 basis points year-over-year to 15% with operating leverage on the higher revenue. As we outlined earlier this year, we are on a multi-year journey to optimize our factory footprint and reduce expenses to expand adjusted operating margins into the high teens. Our plans are on track, as you can see, in the fourth quarter and we expect fiscal 2019 to be a year of heavy lifting, as we increase some investments to support factory consolidation activities, leading to nominal margin expansion for this coming year, and this is consistent with the plan that we've been outlining to you to expand long-term operating margins in the segment. So let's turn to Communications and that's on slide 8. During the quarter, Communications grew 12% organically with data and devices and appliances delivering another quarter of very strong results. And it's nice that you get to see the true progress that our team has made in this segment without the volatility of SubCom. In data and devices, we grew 17% organically with growth across all regions driven by high-speed connectivity in data center applications and content growth from electronification trends. Our appliance businesses grew 5% organically with growth in all regions as we continue to benefit from our leading global position. Adjusted operating margins were 16.8% in the quarter and expanded over 300 basis points from the prior year. For our Communications segment, going forward, we are targeting a long-term model of low to mid-single digit organic revenue growth with mid to high-teen operating margins. Before I get into guidance a little bit later, I do want to turn it over to Heath to cover financials for the fourth quarter as well as for the full year.
Heath Mitts - TE Connectivity Ltd.: Thank you, Terrence, and good morning, everyone. Please turn to slide 9 where I will provide more details on the Q4 financials. Adjusted operating income was $597 million, with an adjusted operating margin of 17% and 110 basis points of margin expansion, driven by the strong 8% organic growth in the quarter. GAAP operating income was $570 million and included $22 million of restructuring and other charges and $5 million of acquisition charges. For the full-year, restructuring charges were $140 million and I expect another year at this level as we continue to execute on optimizing the industrial footprint that Terrence mentioned earlier and improving the cost structure of the organization. Adjusted EPS was $135 million, up a very strong 19% year-over-year, driven by sales growth and operating margin improvement in all segments. GAAP EPS was $4.78 for the quarter and included a tax benefit related to utilization of net operating loss carry forwards. This benefit was partially offset by restructuring, acquisitions and other charges of $0.06. We ended 2018 with an adjusted effective tax rate of 17.1% for the year versus our long-term model of 19% to 20%. As we look ahead to 2019, I expect a more normalized effective tax rate at the low end of this range, so closer to 19%. This results in a tax headwind, though, of approximately $0.14 in our 2019 guidance compared to our 2018 results. If you turn to slide 10, adjusted gross margin expanded 70 basis points in the quarter to 33.7% with improvement from prior year, driven primarily by fall through on increased volumes. Adjusted operating margins were up 110 basis points year-over-year to 17%, with strong organic growth driving leverage in the operating structure of the company. We are proud of the expansion that is across all our segments in Q4 and for the full year. Adjusted EBITDA margins also expanded year-on-year to approximately 22% in the fourth quarter. In the quarter, cash from operations was $922 million and up 10% year-over-year. Free cash flow was $670 million and we returned $570 million to shareholders through dividends and share repurchases in the quarter. For the full-year, free cash flow was $1.4 billion and included a step-up in capital investments to support the rich pipeline of organic opportunities that I have discussed with you over the past year. This CapEx investment is to support growth, and as I've mentioned before, have the highest return on investment for the company, which is contributing to the over 150 basis points improvement in adjusted ROIC this year to 15%. We continue to target mid-teens adjusted ROIC as we balance organic investments with acquisition opportunities. In fiscal 2018, we returned $1.6 billion to shareholders through dividends and share repurchases and used $153 million for acquisitions. Our balance sheet is healthy, and we expect cash will remain strong, which provides us the ability to support both return to our shareholders and the acquisitions over the long term. Given where we are trading, our valuation is attractive. We'll take advantage of this opportunity and balance share repurchases with acquisitions that arrive this coming year. Also, as we mentioned before, we're committed to returning the proceeds from the SubCom divesture to our shareholders in addition to the buybacks from the normal share repurchase program. Please turn to slide 11 to summarize our financial performance for the full-year and illustrate the progress we've made in each of our segments over the past two years as we execute on our strategy. As Terrence mentioned, our performance was ahead of our business model in 2018 with 9% organic growth and a 100 basis points of adjusted operating margin expansion. This included double-digit organic growth in both Transportation and Communications segments. While we had margin expansion in all segments, I'm very proud of the performance of our Industrial and Communications segments as we execute on the levers to improve the operating performance of these segments. The Industrial segment benefited from volume leverage this year, and is making great progress on their margin expansion goals. In Communications, our results reflect the heavy lifting that our team did to restructure and reposition the data and device business over the past several years. We expect to apply the same process to our Industrial segment to drive margins to the high teens. In Transportation, our 2018 growth was well ahead of our initial expectations, and while this is great for sales and earnings generation, we did experience some operational growing pains, which unfavorably impacted the Transportation margins. Fortunately, we feel these growing pains are well understood and have been taking actions to improve the efficiency of our operations within the segment. And as Terrence mentioned, as we progress to 2019, our expectation is that the Transportation margin gets very closer to our target margin rate. We continue to have significant growth opportunities in the Transportation segment, we will continue to fund these investments, while also balancing the operational improvement and the financial results. With that, I'll turn back over to Terrence to cover guidance.
Terrence R. Curtin - TE Connectivity Ltd.: Thanks, Heath. And let me get into guidance. I know I talked a little bit about it but let's click down a level and if we can start on slide 12, let's start with the first quarter. We expect first quarter revenue of $3.33 billion to $3.43 billion, and adjusted earnings per share of $1.25 to $1.29. At the mid-point, this represents reported sales growth of 1% and organic sales growth of 3%, and adjusted EPS expected to be down from the prior year first quarter. Given the recent strengthening of the U.S. dollar, we expect the year-over-year currency exchange headwind in the first quarter of approximately $75 million and $0.04 in the quarter. Because the number of dynamics in quarter one on a year-over-year compared basis, I think it makes more sense that we reference back to the quarter we just ended as a baseline when looking at our quarter one expected performance. Our outlook for the first quarter of this year reflects the business returning to normal seasonal patterns that I discussed earlier, combined with a slower growth in certain end markets. Our revenue guidance implies a 4% sequential decline in quarter one and quarter four, which is in line with the mid-single digit declines that we would typically expect. We expect operating margins to be slightly below our quarter four levels of 17%, as we adjust to the slower market environment. However, we expected the margin expansion from the first half to the second half driven by the levers that we control resulting in a full-year adjusted operating margin expansion from the 17% exit level in 2018. Talking by segments, within the first quarter, we expect Transportation Solutions to be up low single-digits organically. Auto revenue is expected to be up low single-digits organically versus a global decline in auto production of 2%, driven by weakness of production in Europe and China. Our outperformance versus the market again reinforces the benefit we drive from content growth. Industrial Solutions is expected to grow mid-single digits organically with growth across all businesses. And we expect Communications to be up mid-single digits organically, driven primarily by data and devices. So let's move to the full year of 2019, and if you can move to slide 13, I'd appreciate it. As I said earlier, we expect full-year revenue of $13.9 billion to $14.3 billion, which represents reported sales growth of 1% and organic sales growth of 3% at the midpoint. Once again, when you think about the top-line going from where we just ended, it's about $500 million of organic sales growth, offset by $400 million of currency headwind at the mid-point. Adjusted earnings per share is expected to be in the range of $5.60 to $5.80, and we have the two headwinds both from currency and tax, that both Heath and I talked about, but without those headwinds, adjusted earnings per share would be growing at a high single-digit rate at the midpoint, and without these headwinds, it would be closer to $6. So, let me provide some color on the segments on the full year how we're seeing it from a market and a revenue perspective. We do expect our Transportation Solutions segment to be up mid-single digits organically, content gains are expected to drive mid-single digit organic growth in auto, even in a flat global auto production environment that we assume for 2019. We are expecting high single-digit organic growth in sensory, driven by the ramp-up of new auto design wins that we discussed earlier. In Industrial Solutions, we expect to grow low-single digits through the year organically, with growth in aerospace, defense and medical being offset partially by slower growth in factory automation. And in Communications, we expect it to be up low single-digit through year organically, driven primarily by our data and devices business. So before we go to questions, I just want to recap some of the key takeaways from today's call. We delivered exceptional results in 2018 across all levers of our business model. And I think we demonstrated the positive impact of the portfolio changes we've made and the benefit from the global secular trends that are going to consistently drive growth ahead of markets we serve. As we move into 2019, we are in a slower growth environment, which we have reflected in our guidance and it's also important that we remain committed to our long-term business model and we do have levers to respond to the market conditions and you'll see it in the first half and second half margin expansion and EPS expansion that's included in our guidance. And as always, we all appreciate a strong cash generation model that we have and we are going to continue to maintain our balanced capital strategy to make sure we're driving value creation for owners. So as I close, I just want to thank our employees across the world for their execution through 2018, as well as their commitment as we go into 2019 to both our customers and our owners and as we create a future that's safer, sustainable, productive and connected. So Sujal, with that, let's open it up for questions.
Sujal Shah - TE Connectivity Ltd.: Okay, thanks, Kailey. Could you please read the instructions for the Q&A session?
Operator: Our first question will come from the line of Amit Daryanani of RBC Capital Markets. Please go ahead.
Amit Daryanani - RBC Capital Markets LLC: Thanks a lot guys. I guess
Terrence R. Curtin - TE Connectivity Ltd.: Hi, Amit.
Amit Daryanani - RBC Capital Markets LLC: Hi. Terrence, given your expectations for auto production for the full year being flat, how do you think China is going to stack up within those expectations? And how do you deal with a potential China stimulus, I guess, helping you guys over fiscal 2019, if that's baked into your guide or not? Thank you.
Terrence R. Curtin - TE Connectivity Ltd.: No, thanks, Amit. Let me get into the geographies as we see them and that's assumed in our flat auto production environment. And it is something versus 90 days ago – 90 days ago, we would have told you we would have thought auto production in 2019 would be similar to what we were experiencing in 2018, which is 1% to 2% and it did turn flat based upon some of the dynamics we're seeing. By region, as we look at next year in that flat environment, it's really North America continues to be in the continued flat environment it's been in. We see Europe being slightly down. And we actually see Asia being slightly up and that does include, what we believe the stimulus that the Chinese government looks like they're going to put in here beginning in January on the smaller size combustion engines. So when we look at our flat next year, I think you're going to have Europe slightly down, North America flat, Asia driven mainly by China being slightly up.
Sujal Shah - TE Connectivity Ltd.: Okay. Thank you, Amit. Can we have the next question, please?
Operator: We'll go to the line of Christopher Glynn with Oppenheimer.
Christopher Glynn - Oppenheimer & Co., Inc.: Yeah. Thanks. Just wanted to ask about the free cash flow outlook and how to think about conversion, the 70%-plus conversion was a little light in 2018? CFO was clearly good, but as we look into next year, just wondering on the swings, where does CapEx go? Is working capital kind of an opportunity on the slower growth?
Heath Mitts - TE Connectivity Ltd.: Sure, Chris. This is Heath. I think if you think about our cash flow for 2018, couple things you have to take into consideration. One, we consciously took up our CapEx year-over-year to take advantage of some very attractive growth opportunities, particularly in the Transportation segment. That's across the board, both auto, commercial transportation as well as sensors. And many times in this market you've got to invest in some things after you win a program, maybe up to two years in advance of when you'd actually see the revenue. So that's a – if I was looking at our CapEx, I'd say that's a good indicator on our confidence towards our revenue pipeline there. The other thing is, obviously, we did eat through with the type of organic revenue growth that we're talking about for the year nearing double-digits. We did use some working capital. As you think forward into 2019, the slower growth, that working capital, much of it is going to come back into cash flow out of inventories and receivables. And then from a CapEx perspective, I would say it will moderate some from what we spent this past year, but it's still going to be somewhere in that $800 million range of CapEx.
Sujal Shah - TE Connectivity Ltd.: Okay. Thank you, Chris. Could we have the next question, please?
Operator: We'll go next to line of Wamsi Mohan of Bank of America Merrill Lynch.
Wamsi Mohan - Bank of America Merrill Lynch: Yes. Thank you. Good morning. I was hoping, Terrence, you can talk a little bit about the linearity this year, given the fact that you're starting off with this assumption of 2% decline in auto production and ending for the full year at flat. How should we think about the seasonality different this year relative to, let's say, last year? And Heath, perhaps you could address like what specific steps you're taking to accelerate cost savings here and how we should expect that profitability linearity also to progress through the course of the year? Thank you.
Terrence R. Curtin - TE Connectivity Ltd.: Thanks, Wamsi, for the question. Let me talk a little about the seasonality because it's something – in the environment, I think all of us have had for the past couple of years, in some cases our seasonality hasn't been typical but when you look at our guidance and even when you see the orders, orders did grow during the quarter, certainly at a slower rate than we've seen, but you saw the sequential decline that I mentioned and that is pretty typical for our business. And so when we look at our guide for this year, we are pretty guiding that historical seasonality, which is the first quarter comes down a little bit off the fourth, you get a little bit more growth in the second quarter, and then certainly, the third quarter it is typically our strongest and then a little bit of moderation into the fourth. So our guide, as we looked at where orders were, does show a more natural shape. From the standpoint of, clearly – and it goes a little bit back to Amit's question, when you have an environment that goes from 2% growth to declining a little bit like in auto, you are going to get a little bit of supply chain movement. That we are dealing with, that's reflected in our guidance. But I'll let Heath talk a little bit about what we're going to do from a linearity on the profitability side.
Heath Mitts - TE Connectivity Ltd.: Sure. And, Wamsi, I appreciate the question. There's a couple of things that we've talked about in the past, which we described and continue to describe as a multi-year journey, most specifically that's our industrial footprint optimization. And that's not – we've been well underway with that as we worked our way through 2018 and certainly even more aggressively in 2019. I would say, from a segment perspective, some of the bigger actions that we're taking in 2019 in the industrial footprint, we'll see a much more significant margin rate improvement as we get into actual 2020. This is kind of a year internally that we said a year of execution for our industrial team as there's a couple of very large sites that are coming offline. And as that happens, those are not things that happen overnight. So, this has been in progress for a while. I think what you'll see is modest or flat margins in our Industrial segment in 2019. And then as we exit the year, you would expect some significant improvement there. The other thing we have got to take a look at is we just sold a business roughly $700 million of revenue and what that does create an element of stranded cost that we have to address in our structure. And that does put near-term pressure on our margins as we pull out that amount of revenue without that amount of cost. So, we'll be addressing that. We've already begun taking those steps and we'll continue to do so through the first part of this year. So, you would expect our second half margins, in aggregate for the company, to be higher than the first half as we tackle these things.
Sujal Shah - TE Connectivity Ltd.: Okay. Thank you, Wamsi. Can we have the next question, please?
Operator: We'll go to the line of Craig Hettenbach with Morgan Stanley.
Craig M. Hettenbach - Morgan Stanley & Co. LLC: [Technical Difficulty] (37:11 – 37:37)
Terrence R. Curtin - TE Connectivity Ltd.: Yeah. I'm sorry about that. We're going to go to the next question, please. And, Craig, we had a bad connection. Maybe we'll come back to you.
Operator: We'll go to the line of Joe Giordano with Cowen. Please go ahead.
Joseph Giordano - Cowen & Co. LLC: Hey, guys. Good morning.
Terrence R. Curtin - TE Connectivity Ltd.: Hey, Joe. Good morning.
Joseph Giordano - Cowen & Co. LLC: So can we go through kind of what you're seeing in the supply chain, I know, Heath, we talked last – like on a year-on-year in auto last year it was a headwind, I think it was like 150 basis points from kind of supply chain inflation and some stuff you had to do on the logistics side to expedite, can we talk about what we're seeing now, is that kind of pressure accelerating, moderating a little bit, and implications on auto margins there?
Heath Mitts - TE Connectivity Ltd.: Sure. I think that when we think about supply chain, there is a couple of pieces here. I'm going to tackle the first half, and then I want, Terrence, to grab the second. There's certainly some things that we have dealt with relative to our operational matters that involve our supply chain and availability of parts, and be able to get things and then through our factories and the cost to expedite some of that, much of that is behind us, or we're on the better end of that journey in terms of the pain points that that has caused. Albeit, we're not – we're never going to let our customers down in terms of being a critical component of their supply chain and so we at times have to do things that drive inefficiencies in our factories to make sure we get out and some of the capital that we've spent this year in addition to the growth programs has gone to address those types of matters. So I feel that we're on the right end of that journey, but again you'll continue to see margins march up as we progress through the year. And then relative to the supply chain and some of our prepared remarks that is causing some air pockets in our demand for sales. I'll let Terrence grab on to it.
Terrence R. Curtin - TE Connectivity Ltd.: Yeah. Certainly, Joe, on the other part there. We have seen in certain markets customers get conservative and inventory levels while we see things like PoS staying in this moderating growth environment. We have, due to some of the inflationary pressures we're seeing elsewhere as well as I think some of the tariff effects, actually pause a little bit. So, we are seeing that as part of our moderation. It's very different depending upon the market dynamics. Markets that are hot, we don't see it, markets that are moderating a little bit, we are seeing some pauses in the supply chain in the purchasing activity that we see, as typical those type of effects work through in three, four months and we do see it in certain markets right now.
Sujal Shah - TE Connectivity Ltd.: Okay. Thank you, Joe. Could we have the next question, please?
Operator: We'll go to line of Shawn Harrison of Longbow Research. Please go ahead. Mr. Harrison, your line is open. If you have a mute button on, please take it off or pick up the handset.
Shawn M. Harrison - Longbow Research LLC: Hi. Morning all. This is probably the last time ever you'll have this question but SubCom. What was previously the embedded earnings forecast for that business in 2019 prior to the sale? And do you anticipate through buyback and cost reduction actions that you'd be able to fully offset any dilutions from that sale?
Heath Mitts - TE Connectivity Ltd.: Well. Shawn, this is Heath. We didn't get into disclosing given where we were in the process internally what the impact would have been for our 2019 numbers, because we had a pretty good indication early on during our budget process, where it was going to fall out. So, did try to put in a 2019 number on there would be somewhat speculation at this point. In terms of the dilutive impact, obviously it did not have a material amount of profitability as you review the numbers that we disclosed in the 8-K that was sent out earlier today. You'll see that there was not much profitability in that business in our fiscal 2018 numbers. So from that perspective, which was obviously a number that was – had been, we worked through the quality issue with one of our contracts and that had, certainly, an unfavorable impact to the business's overall margins. But as we think through more of a normalized piece for SubCom, relative to the price that we got and the shares we're going to purchase back, I would say that on a year-over-year perspective you'll see a very moderate amount of dilution. And you'll see, obviously, when we normalize the numbers, an uptick in our gross margins and in our overall operating income.
Sujal Shah - TE Connectivity Ltd.: Okay. Thank you, Shawn. Can we have the next question, please?
Operator: We'll go to the line of Matthew Sheerin with Stifel.
Alvin J. Park - Stifel, Nicolaus & Co., Inc.: Yes. Hi. This is Alvin Park on behalf of Matt Sheerin.
Terrence R. Curtin - TE Connectivity Ltd.: Hi, Alvin.
Alvin J. Park - Stifel, Nicolaus & Co., Inc.: Hi. Hello. And just in terms of content spread with the auto production growth. The quarter had 8% organic growth in Transportation on a 2% decline implying a spread of roughly 10 points. Just wondering how management is viewing that spread come fiscal year 2019. And if that large spread cadence can be maintained or if you see a compression, just any color on that?
Terrence R. Curtin - TE Connectivity Ltd.: Couple of things. Let's go back to what we believe that spread should be and that spread, like we said in our Investor Day, is that mid-single digit spread, both from the trends we get around electronification content changed due to both what's happened in electric vehicle as well as autonomy and the connected car. So that spread does not change. This past year, certainly, our performance was well ahead of that, but as we look at next year in a flat environment, we believe our auto business will grow mid-single digit right at that content that we've always said. On a quarter or a period you will get programs that may kick-in and move out, but long-term that 4% to 6% and mid to single-digit content is what we expect based upon the programs we're seeing to drive up to the content per vehicle, we've always talked to our owners about. So while we may have a little bit of a supply chain effect in quarter one, we feel very good at it in the flat environment. We're going to grow that mid-single digit, where we guided for the year.
Sujal Shah - TE Connectivity Ltd.: Okay, Thank you, Alvin. Can we have the next question, please?
Operator: Okay. We're going to go back and try Craig Hettenbach's line again from Morgan Stanley.
Craig M. Hettenbach - Morgan Stanley & Co. LLC: Thanks. Sorry, there was some line issues, so Terrence just the question on the sensor wins you called out, $800 million in fiscal 2018. Can you talk about in areas where you are winning kind of where you are differentiating versus the competition? And then as part of that I know the company has talked about kind of leveraging the core connector technology with sensors, and what type of traction you're seeing that as a go-to-market with auto OEMs?
Terrence R. Curtin - TE Connectivity Ltd.: Sure. Thanks, Craig. So first off, we talked about the wins that I mentioned in the call, you see the momentum we continue to have and those sensor wins were over $2 billion. And you've also seen, we're starting to see the growth on the auto programs as we've always told you, when you win an auto program, it take years for that to actually launch and you've seen that we continue to have momentum there and that will help the growth where we guided in sensors next year. When we bought MEAS, it was always around how do you take their great product bag and technology bag they have and really get it, focus on vertical applications. And our first approach was very much around would we leverage TEs in the transportation space. And I think that's what you see, it is very broad, the sensor space is a very broad space, it is space where there is internal divisions we compete against with, some small companies, certainly some larger companies, and our wins we're competing against that fragmented space. What I would say from applications, the application we feel very fortunate because we're starting a little bit from a clean slate since MEAS didn't have much automotive business. And I think we're really driving wins where they are differentiated, and whether that or other things around electric vehicles, certainly around humidity, temperature, pressure, it's a very broad-based that we feel good about. And we're going to continue to leverage it. We're also looking where other verticals that we should be looking at sensor (45:58) I would say that's still, how do we scale that, there's still some of the opportunity we have as a company, but early out of the gate it was very much transportation focused.
Sujal Shah - TE Connectivity Ltd.: Okay. Thank you, Craig. Can we have the next question, please?
Operator: We'll go to the line of Jim Suva with Citi.
Jim Suva - Citigroup Global Markets, Inc.: Thank you very much. And thus far you've provided great details. One follow-up I have is in your prepared comments you've mentioned about right-sizing and realigning some of the businesses, as we look into the 2019 and looking at your reporting lines of businesses where can we see the most focus for that right lining of those businesses maybe by segment about where the most effort will be? And is it kind of a near-term pressure or pause on the margins of those businesses before they get better? And is it all internally planned or is it also driven by some of the political items that are going on with the tariffs adding to that or would that be incremental depending upon how that all sources sorts out? Thank you very much.
Heath Mitts - TE Connectivity Ltd.: Jim, it's Heath. I appreciate the question. Let me give you my perspective in terms of where our efforts and focuses are. Certainly, what we've talked about relative to the Industrial segment is unchanged. We have been undertaking, we continue to undertake some footprint consolidation activities. We will, in 2019 because there are some investments that get made as we do, we were running parallel as things move to different regions and things like that. You won't see a ton of margin expansion that probably guide you to the model of roughly flat year-over-year at the segment level with an expectation that as we exit the year you'll start to see this tick up as some of the bigger cost locations come off line. So, that's an organized effort of largely the team that right-sized our data and device business over the last several years, that same team is now involved with the Industrial segment. And they are well underway in terms of what they've been working on towards that goal. As we think about Transportation, I think what you'll see is you'll see where we exited this year with Transportation in terms of 2018. There are, certainly, some activities in place to make sure that we are sized correctly as well as in the right areas. My expectation is that you will continue to see the margins tick up as we move from quarter-to-quarter sequentially and certainly from the first half to second half and realize the benefit of some of those actions that are underway, while we're still investing into the growth profile of that business, because that business continues to have strong trends and nothing has changed from that perspective in terms of where we're going within the transportation world, whether it's sensors business that Terrence has talked about or certainly in commercial transportation and auto that are benefiting from the trends of electronification of vehicles. So, there will be a balance there. But as you model the year, you should expect margins to tick up sequentially as well as certainly first half, second half. And then Communications, right, now Communications is a business that certainly from a margin perspective has finished 2018 very strong, the data and device business and appliance businesses, which are the only to be used left in that segment, right. They're both doing well; you'll see more growth out of data and devices this year. And then appliances, I think you'll see a little bit slower growth because we've come to enjoy outsized growth relative to those end markets, but you'll still see nice numbers there. From a margin rate perspective, this is a little bit less about restructuring and more about growth from where our focal points are. But no, it's just the law of small numbers, you can see some volatility quarter-to-quarter within that segment as any one quarter could have better mix than another quarter and so forth and you don't have quite the amount of variability in there that maybe once had. So, just keep an eye on that, but if you wanted to guide mid-to-high teens for that segment, I think that's a fair place.
Sujal Shah - TE Connectivity Ltd.: Okay. Thank you, Jim. Can we have next question, please?
Operator: We'll go to the line of Mark Delaney of Goldman Sachs.
Mark Delaney - Goldman Sachs & Co. LLC: Yes. Good morning. Thanks for taking the question.
Terrence R. Curtin - TE Connectivity Ltd.: Hey, Mark.
Mark Delaney - Goldman Sachs & Co. LLC: I was hoping you to talk more about commercial transportation specifically and the commentary about some slowing in orders as you exited the fiscal year? Was that a broader base comment or is that more specific to China? And then just maybe remind us how much of the commercial transportation business is China exposed?
Terrence R. Curtin - TE Connectivity Ltd.: No, I think when you look at our commercial transportation business, we've had tremendous growth the past couple of years there and a lot of it has been driven by the truck market in China. And it's been both a market benefit as well as a content benefit. About half of our growth over the past couple of years has been content driven. And I think it's what our teams have done, that I've been very pleased with. What we have seen is certainly China from a truck perspective, we do expect that to be down. So we are going to get impact of that as well as the supply chain effects that go with that. So China is a big driver of it, that drives that overall market with where it has shifted. If you look at that business today, that business today is about 30% China, the rest of it would be in the West, between Europe and America. So I think it's one of the things that was a much smaller penetration for us historically. I think it's a real success. And a lot of content win there but the market is – we see some market changes there.
Sujal Shah - TE Connectivity Ltd.: Okay, thank you, Mark. Can we have the next question, please?
Operator: We'll go to the line of Deepa Raghavan of Wells Fargo Securities.
Deepa B. N. Raghavan - Wells Fargo Securities LLC: Good morning.
Terrence R. Curtin - TE Connectivity Ltd.: Good morning, Deepa.
Deepa B. N. Raghavan - Wells Fargo Securities LLC: Wanted to talk about free cash flow a little bit more in detail. Just given all the incremental cost actions that you're taking, would that be a little bit more of a headwind to free cash flow into 2019. And the second part to that is, I don't know the cash profile of your SubCom business, just curious how does your free cash flow settle for 2019 just given your incremental cost actions and your SubCom exit? Thank you?
Terrence R. Curtin - TE Connectivity Ltd.: Thank you, Deepa, good question. So, relative to the amount of restructuring cash as I mentioned, we guided throughout 2018 that the P&L impact on restructuring to be about $150 million. You can assume about 75% of that was real cash versus, I'll say, non-cash charges inside there. We ended the year about $140 million. I would tell you that if you're modeling, I think $150 million is probably a good number as we think about it. As we progress through the year, we'll keep everyone updated if that number changes and we update our forecasts relative to that. But I don't see relative to how we thought about the cash flow impact of the restructuring in 2019 to have a material difference from how it impacted us in 2018 from a cash perspective. The biggest benefit we're going to get from cash perspective is certainly working capital back off now that we're at, I'll say, more moderate growth rates versus the organic trends that we had been at. And that will have a more significant impact driving our cash higher. As we think about SubCom, SubCom is a business that, at times, very lumpy cash flow. So the cash flow in that business did not always follow necessarily where revenue and profit followed in that business just by the nature of when you receive progress payments and money that was received upfront from time to time as well as when projects were commissioned you might receive a windfall towards the back end of a project. So it was very lumpy as we think about that business in 2018 relative to 2019. Obviously we've pulled those numbers out from a discontinued operations perspective, but not going to have a significant impact from how I would think about cash conversion.
Sujal Shah - TE Connectivity Ltd.: Okay. Thank you, Deepa. Could we have the next question, please?
Operator: We'll go to the line of Steven Fox with Cross Research. Sir, your line is open.
Steven Fox - Cross Research LLC: Hi. Yeah. Sorry about that. Good morning.
Terrence R. Curtin - TE Connectivity Ltd.: Hey, Steve.
Steven Fox - Cross Research LLC: Hi. So a couple questions from me, please. First of all, obviously there's been a pretty sizable change in the industry's outlook for auto production. It sounds like some of it is actually related to some spot plant shutdowns. So I'm trying to understand like the risk between now and the end of the year that you see maybe some more unexpected plant shutdowns, how much that is already factored into your guidance. And then how you would deal with sort of that to avoid extra inefficiencies? And then I had a follow-up.
Terrence R. Curtin - TE Connectivity Ltd.: Yeah, well, Steve, first off, we've taken the data that we see here and from our customer interactions as well as where do we see order forecasts. So we have all of that that when you look at here and you sort of say before the end of the year, I'm assuming calendar year, we get orders from our customers because it is a just-in-time industry that's there. So feel that what we've gone out with reflects those shutdowns certainly that we saw some of it taking advantage of Europe specifically and that was also the WLTP, which I think is less around Europe shutdowns, but certainly regulation and I think everybody's trying catch up on. So I feel that where we've guided reflects the areas that we've heard from our customers. And what we've been doing, as Heath mentioned, is there are areas when you get an adjustment like that, we have to adjust our operations for. And that's what we're doing across auto it is, so business is going to grow at 5%, mid-single digits next year in a flat environment. So when we look at it, we have to adjust from running at 10% like we had almost this year down to about half of that growth and that's what we're working through right now.
Operator: We'll go next to the line of William Stein with SunTrust.
William Stein - SunTrust Robinson Humphrey, Inc.: Great. Thanks for taking my question.
Terrence R. Curtin - TE Connectivity Ltd.: Hi, Will.
William Stein - SunTrust Robinson Humphrey, Inc.: Hi. The last time we had a meaningful slowdown in automotive, that is the credit crisis and I'm certainly not saying that's what unraveling today. But during that time, we saw a pretty significant inventory reduction across the supply chain, that triggered meaningfully below unit growth for your transport sales despite the content growth story that was in full swing at that time as well. So it sounds like you think that the current environment is sort of a one and done pause quarter or maybe something like that, very short but very small. What gives you the confidence to guide that way for at least that's how it feels for the year? Thank you.
Terrence R. Curtin - TE Connectivity Ltd.: Well, I think a couple things, Will, I think you have to get at where auto builds have bid and some of it is last year's first quarter was very strong builds. We could see moderation occur here, adjusting like we said a little bit in Europe, a little bit in China. North America has been flat for three years. So I don't think we've been in an accelerating automotive environment. We've been in a decelerating auto production environment when it comes to growth for multi-years now. Certainly, we thought it was going to be more like 1% to 2% growth going into 2019. It's a little bit sharper. It's down to zero, so I do think auto production has been adjusting and, from that viewpoint, we think it's appropriate. When you look at auto production, we see it basically being about 24 million units the first three quarters and then actually going to 22 million units like it normally does. So when we look at our flat, some of that's related to compares of where do we see production and, certainly, there are pauses in places like Europe, right now with WLTP and certainly China is adjusting. But we expect they should have low-single-digit growth, it's nowhere close to the growth it had three, four years ago.
Terrence R. Curtin - TE Connectivity Ltd.: Okay. Thanks, Will. Can we have the next question, please?
Operator: We have a follow-up from the line of Joe Giordano of Cowen.
Joseph Giordano - Cowen & Co. LLC: Hey, guys. Thanks for taking the follow-up here.
Terrence R. Curtin - TE Connectivity Ltd.: Hey, Joe.
Joseph Giordano - Cowen & Co. LLC: Just, I know you guys are generally pretty conservative in your guide, but let's just say we do have a further deterioration in end market conditions and you guys do have a pretty high volume, fixed cost base. Given the spending that you're planning on doing to right-size everything, how quickly could you tamper spending to kind of deal with a slower growth environment than you're currently contemplating?
Terrence R. Curtin - TE Connectivity Ltd.: Well, Joe, I think it's a fair question. Certainly, we contemplate a lot of different scenarios as we put together these plans and the teams rally around in terms of levers that can be pulled. There are levers that we're pulling now relative to just the overall softening of the general macro situation and everything we've talked about over the last hour. There will be additional levers that certainly we have queued up that if things worsened and you expect us to pull those. So, how quickly can we pull them? Well, pretty quickly. We have – this wouldn't be starting from scratch. We've done the work and we've taken a look at it but no different than you would expect us to in preparing the company for various types of macro conditions. At the same time, we will balance out the growth. We're not – these are businesses and we start talking about things like automotive across the board and aerospace and so forth that when you're running programs and you're being spec'ed in to programs with our customers that sometimes you're going to have to swallow hard in the near-term to be successful in the long-term. And I think if you look at our history of that, even well before I got here, the company has done a good job of balancing that out to make sure that we keep our customers happy and that we don't lose something because of shortsightedness. So there will be a balance. There are some self-help things that certainly we will execute on and have been executing on and you'll see those start to be reflected in the financial results. At the same time, there's a level of agility that we talk about internally and that we have queued up to allow us to pull those levers when and if they happen.
Sujal Shah - TE Connectivity Ltd.: Okay. Thank you, Joe. Looks like we have no further questions. So I want to thank everybody for joining us this morning. If you do have follow-up questions, please contact Investor Relations at TE. Thank you, and have a great day.
Operator: Thank you. And ladies and gentlemen, today's conference will be available for replay after 10:30 AM Eastern Time today running through midnight on Wednesday, November 7. You may access the AT&T replay system by dialing 1-800-475-6701 and entering the access code of 454471. International participants may dial 320-365-3844. Those numbers again are 1-800-475-6701 and 320-365-3844 with the access code of 454471. That does conclude your conference for today. Thank you for your participation and for using the AT&T Executive Teleconference Service. You may now disconnect.